Operator: Good day, ladies and gentlemen. And welcome to the Q1 2014 Medical Properties Trust Earnings Conference Call. My name is Whitley, and I’ll be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Charles Lambert, Managing Director. Please proceed, sir.
Charles Lambert: Good morning. Welcome to the Medical Properties Trust conference call to discuss our first quarter 2014 financial results. With me today are Edward K. Aldag, Jr., Chairman, President and Chief Executive Officer of the company; and Steve Hamner, Executive Vice President and Chief Financial Officer. Our press release was distributed this morning and furnished on Form 8-K with the Securities and Exchange Commission. If you did not receive a copy, it is available on our website at www.medicalpropertiestrust.com in the Investor Relations section. Additionally, we are hosting a live webcast of today’s call, which you can access in that same section. During the course of this call, we will make projections and certain other statements that maybe considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to known and unknown risks, uncertainties and other factors that may cause our financial results and future events to differ materially from those expressed in or underlying such forward-looking statements. We refer you to the company’s reports filed with the Securities and Exchange Commission for a discussion of the factors that could cause the company’s actual results or future events to differ materially from those expressed in this call. The information being provided today is as of this date only and except as required by Federal Securities laws, the company does not undertake a duty to update any such information. In addition, during the course of the conference call we will describe certain non-GAAP financial measures, which should be considered in addition to and not in the lieu of comparable GAAP financial measures. Please note that in our press release, Medical Properties Trust has reconciled all non-GAAP financial measures to the most directly comparable GAAP measures in accordance with Reg G requirements. You can also refer to our website at www.medicalpropertiestrust.com for the most directly comparable financial measures and related reconciliations. I will now turn the call over to our Chief Executive Officer, Ed Aldag.
Edward Aldag: Thank you, Charles. Good morning, everyone, and thank you for listening in on today’s earnings call. The results announced this mooring for the first quarter show a continuation of the strong rapid growth we’ve experienced over the last two years. The 2014 first quarter revenue increased 27% and our normalized FFO increased 23%, compared to the same time period for 2013. We are very pleased with where we are at this point in the year. With acquisition of one hospital for $115 million and the commitment to executed for $205 million in development transactions we continue to feel very good about the $500 million target for 2014. The acute care facility we acquired for $115 million during the first quarter is Hackensack University Medical Center Mountainside located in Montclair, New Jersey. The facility is operated by legacy partners in a joint venture with Hackensack University Medical Center and produces lease coverage in excess of three times. The lease is a typical MPT lease for 15 years and renewal options for up to an additional 25 years. This lease was immediately accretive to MPT and represents our first relationship with a significant not for profit institution. The two development commitments represent two different existing MPT operators. Both of these will also be accretive to MPT upon completion. One is for the development of an acute care hospital for $55 million. This facility is well under construction at this time, the transaction will be structured as a construction loan converting upon completion to a traditional MPT sale leaseback with a term of 15 years with operator extension rights for another 15. The other is $150 million line to develop a combination of freestanding emergency room and general acute care hospitals. These facilities will go into a master lease with a 15-year term and operator extension rights for another 15 years. Because we’ve not closed on these two transactions we cannot provide you with more information and are providing you at this time. Our pipeline continues to be strong. The vast majority of what we are working on is acute care hospitals in the U.S., but we continue to have strong opportunities in both the U.S. and in Europe. As we all know, there have been recent interest in the acute care hospital segment from other healthcare REITs. In addition to REITs there has been interest from international sovereign funds that are known for being risk adverse. While we’ve not seen any negative impact to our acquisition pipeline, what it is certainly done is to increase the value of our portfolio. Late last week we were notified by our tenant community health systems that they do not intend on renewing their lease. We’ve already had two groups contact us about their interest in the facilities. We have a full year to find a replacement tenant for these particular hospitals. As our portfolio grows and matures we are constantly working to provide more information regarding the strength of our portfolio, while maintaining the facility specific confidentiality that our tenants require. In the past, we have provided coverage based on total EBITDAR and total rent levels. While this provides accurate information, it can at times cost the larger properties to have an unintended overshadowing impact on the smaller properties. We’ve analyzed other meaningful ways to present this information. Today I’m going to present the coverage into formats for each of the three separate categories of facilities we have. We will provide a simple average and an investment weighted average coverage. The simple average is just that. It’s the average of the coverage is for each facility in each category without any adjustment for the size of the investment. The investment weighted average takes the amount of our investment in each property and produces a weighted average coverage, thus the properties with the larger investment will have more importance than the ones with the smaller investment. We’ve gone back one year to compare trailing 12 months for 2013 and trailing 12 months for 2014. For the acute care hospitals, the simple average trailing 12 months for the period ending February 28, 2013 was 4.45 times. The simple average trailing 12 months for the period ending February 28, 2014 was 4.79 times, an 8% increase. The investment weighted trailing 12 months average for the period ending February 28, 2013 was 5.25 times. The investment weighted average trailing 12 months for the period ending 2/28/2014 was 4.83 times, an 8% decrease. For the long-term acute care hospitals, the simple average trailing 12 months for the period ending February 28, 2013 was 1.9 times. The simple average trailing 12 months for the period ending February 28, 2014 was 1.73 times, a 9% decrease. The investment weighted average trailing 12 months for the period ending February 28, 2013 was 2.02 times. The investment weighted average trailing 12 months for the period ending February 28, 2014 was 1.82 times, a 10% decrease. It is important to note here that most of our real tax have seen improvement over the last half of the fourth quarter of 2013 which was continued into the first quarter of 2014. For the rehab hospitals, the simple average trailing 12 months for the period ending February 28, 2013 was 2.57 times. The simple average trailing 12 months for the period ending February 28, 2014 was 2.67 times, a 4% increase. The investment weighted average trailing 12 months for the period ending February 28, 2013 was 2.53 times. The investment weighted average trailing 12 months for the period ending February 28, 2014 was 2.4 -- 2.64 times, a 4% increase. With the growth of our portfolio over the last few years, we’ve continued to improve our diversification, including fully funded development our largest tenant Prime Healthcare now represents 21.7%, Ernest held 14.8% and IASIS 10.6%. Our best barometer of diversification is still with us any one property represented of our overall portfolio. Today no one property represents more than 3.5% of our portfolio. Acute-care hospitals represent 54% of the portfolio, inpatient rehabilitation hospitals 21%, LTACH 14% and freestanding ERs are at 3%. The recently announced CMS proposals for upcoming rate changes this fall all met our expectations. Obviously, the impact on each facility will be different. However, we believe the effect to our acute-care and LTACH portfolio is that there will be little to no change in their revenue from rate changes. We do expect to see a slight improvement for the inpatient rehabilitation hospitals. Ernest Health continues to prove to be a very good investment for MPT, if you exclude the three facilities that are still in ramp up from their development stage, Ernest’s EBITDAR is on track to show a 17.5% increase over when MBT made its investment. Our growth over the last few years had been carefully planned out and is generated the expected returns. Our asset growth for 2013 was 33.3% compared to an average of 19.9% for our healthcare peers. Our revenue growth was 22.4% versus 18.3% for our healthcare REIT peers and our total return was six times more than the average of our peers and 3.3 times more than the RMS. Steve will now walk you through the details of our financial report.
Steve Hamner: Thank you, Ed. We filed our press release this morning with details about our reported results and I will be happy to take questions about those momentarily. First, I want to provide some explanatory information about a couple of matters. Normalized FFO for the quarter of $0.26 reflects $0.01 per share of temporary dilution related to our early March equity offering. The proceeds of this offering were used to fund the March 31 $115 million acquisition of the Mountainside hospital in New Jersey that Ed mentioned earlier. As we disclosed in early April, we commenced negotiations with the party that we presently believe has the ability to profitably operate the Monroe Hospital in Bloomington, Indiana. We have recently executed a letter of intent with this party. That provides under certain conditions a period of time for due diligence and exclusive negotiations. There is no certainty that there will be any transaction with this party. However, we recognize that impairment of $20.5 million in the first quarter and further impairment charges are possible. Unless we consummate the transaction and begin to receive payments from a new operator, we do not expect any effect on future FFO and specifically no effect on our run rate annualized FFO estimates of the Monroe property. Our investments tenant operations continue to perform as expected. During 2014’s first quarter, we earned $4.5 million on about $110 million in investments as follows. $4.2 million was earned on our $93.2 million secured loan to Ernest Health, Inc., our return that continues to approximate the 15% coupon on the note and is reflected in interest income. And of course that’s in addition to the $10 million we recognized in rent and mortgage interest from Ernest in the quarter. Another $300,000 from investments in another eight separate tenants with an aggregate investment of approximately $16 million was recorded for the quarter. One of these operating type investments is similar to a percentage rental arrangement whereby in the last two years, we had received the maximum participation of about $1 million. Accounting rules require that we recognize that income only after the revenue hurdles have been achieved, which has been in the last half of the recent years. At the end of the fourth quarter, you will remember that we made a $20 million mortgage loan secured by a general acute care hospital that provides to us a base return plus an interest in the operations of the hospital operator. During the first quarter, we recognized a return reflecting approximately 11%, the base rate on the mortgage. In 2015, one tenant has the option to let two leases expire and that tenant has notified us that it will do so. And Ed commented on this a few minutes ago. For perspective, however, for the five-year starting in 2016, leases aggregated -- aggregating an annual average of only 1% of revenue are subject to expiration. As you heard, Ed described we continue to expect another very strong year for acquisitions as more and more operators and acquirers have concluded that sale-leaseback financing should play a meaningful role in their capital strategies. For near-term acquisition opportunities, we have immediately available more than $150 million in cash and another $400 million available under our undrawn revolver. Last month, we successfully completed an offering of 10-year unsecured bonds at historically low rates. And we are well prepared for near-term funding of our pipeline. For permanent funding of our acquisitions beyond this $150 million in cash, we have long stated our balance sheet and capital principles which we intend to maintain over the long term, leverage of between 40% and 45%, debt-to-EBITDA of around 5 to 5.5x and a prudent dividend payout ratio of between 75% and 80%. Early in the first quarter, we provided a normalized FFO run rate estimate of between $1.08 and $1.12 per share. And that estimate was as if we made no new investments in 2014. Since then, we have acquired $115 million general acute care hospital in New Jersey, and through timely offerings of about $128 million in equity and $300 million in 10-year bonds, we have repaid all amounts that had been drawn on our revolver and provided approximately $150 million in immediately available cash. And again, that does not include the $400 million available under the revolver. So based on our March 31 balance sheet, the scheduled completion of certain developments and the anticipated deployment of approximately $180 million in near-term acquisitions, our current run rate estimate ranges from $1.10 to $1.14. This includes no effect for the approximately $205 million in development commitments we have already discussed and which we expect to commence lease payments in 2015. Importantly, and in line with our long-term guidance practice, this is not a fiscal year estimate of normalized FFO. FFO for any particular period will be impacted by the timing and amounts of acquisitions and financing transactions. As usual, these estimates do not include the effects, if any, of debt refinancing costs, real estate operating costs, interest rate swaps, write-offs of straight-line rent, property sales, foreign currency gains and losses or other non-recurring or unplanned transactions. In addition, this estimate will change if market interest rates change, debt is refinanced, additional debt is incurred, assets are sold, other operating expenses vary, income from investments in tenant operations vary from expectations or existing leases do not perform in accordance with their terms. With that, we will take any questions and I will turn the call back to the operator.
Operator: (Operator Instructions) Your first question comes from the line of Tayo Okusanya with Jefferies. Please proceed.
Tayo Okusanya - Jefferies: Yes. Good morning everyone. Just a quick question on the tenant not renewing, could you just kind of quantify what the current rents are right now to get a sense of what the total exposure is there?
Steven Hamner: Total rent on those two properties is about $4.5 million.
Tayo Okusanya - Jefferies: That’s helpful. And then the transaction, good deal flows during the quarter. Again you guys are still closing so I know there is a limited amount of information you can provide. Could you provide us with a sense if the cap rates on the transactions are kind of within the guidance range, if historically given between 8% to 9%?
Steven Hamner: It’s actually between, it’s between 8% and about 11%, Tayo. But it is in that range.
Tayo Okusanya - Jefferies: And within which range? Is it 8% to 9%, or 8% to 11%?
Edward Aldag: The 8% to 11%.
Tayo Okusanya - Jefferies: All right. That’s right. And then, Monroe, it’s kind of good to see the letter of intent and the due diligence going on. Is there anything that you can think of that would not -- that would prevent that transaction not going through?
Edward Aldag: Well, I mean there are a number of things, Tayo. There are regulatory issues. The perspective buyer has to finance the transaction. We certainly believe it’s well able to. And it has a bold discretionary diligence out if they so choose, so any number of things that could stop it or could change the terms which we’ve, at least negotiated in the LOI.
Tayo Okusanya - Jefferies: And what’s the -- I mean, what’s the timing? Does it have a 60-day due diligence period or when would you kind of expect the year on that?
Edward Aldag: We think that if it works out, that it will be a -- clearly will be a second half transaction. But we would hope to know with some further certainty within the next 60 to 90 days, whether they will be taking the next steps which would be actually committing meaningful earnest money.
Tayo Okusanya - Jefferies: Okay. And then just the last one from me. Did you happen to look at the hospitals that were acquired by Ventas in the U.K. and kind of, what are you kind of seeing internationally and the opportunities to kind of plan expand further either in Germany, U.K., France or one of the European countries you may be looking at?
Edward Aldag: Tayo, we did see those properties about a year ago. We do have a number of opportunities in Europe. It’s the same areas of Europe that we’ve discussed in the past. It’s obviously all of Western Europe, but at this time I don’t want to get into the specifics of some of the transactions that we are negotiating.
Tayo Okusanya - Jefferies: Okay. All right. Fair enough. Thank you very much.
Operator: Your next question comes from the line of Michael Carroll with RBC Capital Markets. Please proceed.
Michael Carroll - RBC Capital Markets: With regards to the tenant that’s not renewing, could you kind of give us an idea of what the current coverage ratios are on those properties?
Steve Hamner: Mike, we don’t give the specifics of individual properties, but I can tell you that the two properties combined do have a positive coverage.
Michael Carroll - RBC Capital Markets: Have you had any discussions with prospective tenants yet, I guess take those assets?
Edward Aldag: Yes. As a said just a few minutes ago, we’ve actually were notified by two prospective people last week before we got the official notice.
Michael Carroll - RBC Capital Markets: And then do you expect, I guess any type of meaningful roll down in rents or is it going to be remain only or mainly largely the same?
Edward Aldag: Well, we feel good about these properties and their prospects. We have a year to before the lease is at its end, and it’s too early to say at this point.
Michael Carroll - RBC Capital Markets: Okay. And then as you indicated you are starting to see more competition coming into the hospital space, including some other public REITs that are out there. Is this competition causing, I guess you to reduce your yield expectations on some investments?
Edward Aldag: It has not affected us at all at this point. As we’ve said for a very long time that we welcome the competition. We think it’s very good for us as a company. It obviously helps to validate our model and our portfolio and it helps to educate the potential customer out there.
Michael Carroll - RBC Capital Markets: Okay. And then is your 2014 guidance still the same one that you gave last quarter of 108 to 112?
Edward Aldag: Well, Mike, again, that’s the run rate guidance. And just to go back, that 108 to 112, was based on the in-place portfolio at that time, plus the expected development that we expect to complete in 2014. If you reset that guidance and annualized run rate guidance as of today, based on the assumptions I gave earlier, which is basically we’ve now acquired the $115 million New Jersey hospitals. We expect another $180 million plus or minus in the relatively near term. And use of the $150 million in cash on the balance sheet, that would yield an annualized run rate of $1.10 to $1.14.
Michael Carroll - RBC Capital Markets: Okay. Great. Thanks.
Operator: Your next question comes from the line of Daniel Bernstein with Stifel.
Daniel Bernstein - Stifel: Hi. Good morning.
Edward Aldag: Good morning, Dan.
Daniel Bernstein - Stifel: I just had some questions on the new developments for First Choice and in particular just trying to understand, maybe the differences in the economic model again between urgent care and the ER, and why you want to continue to go ahead and expand the emergency room developments here. What’s the economic model that you said likely, are you concerned about anything in terms of overdevelopment of that property type?
Edward Aldag: Two things, Dan. One is that in the prepared remarks, we didn’t say specifically who the tenant was. But secondly, of our freestanding ERs in general as they relate to a typical doc in the box scenario and states that recognize freestanding ERs, they are truly an emergency room that can handle emergency situations, whereas a typical doc in the box that we are all familiar with is just somewhere where you go for preventive care type situations. This has the full medical ability to handle your basic emergency needs. Most of the freestanding ERs that we have are affiliated with an acute care hospital in some form or fashion. This new line that we just announced today that we’ve got a commitment on but we still haven’t yet closed is a combination of freestanding ERs and emergency rooms. It’s a model that actually has a general acute care -- I’m sorry general acute care hospital that sits in a cluster, if you will, with the freestanding ERs around it.
Daniel Bernstein - Stifel: Okay. I was just looking at the development projects in your supplemental and I saw the First Choice stuff and I just presumed it was First Choice. But I guess not. And what is the size of the property that you are looking to build here? I mean, if you add any emergency rooms with, I guess inpatient emergency rooms with this freestanding ER, you’re looking at like 15,000, 20,000 square feet versus 5000 square feet or something for an ER. Is that the way to think about the size of the property that you’re going to be building perhaps?
Ed Aldag: The general acute care hospital portion of it is typically going to be something in the neighborhood of a 20-bed hospital. And then the freestanding ERs around that will just be the emergency room part of it that will be about 10,000 square feet.
Daniel Bernstein - Stifel: Okay. And then the other item that I was trying to think about here was the straight-line rents for the year. What straight-line rents are you thinking about in your current guidance? And I guess we had been modeling in a little bit higher than what you reported. So I was just trying to figure out more of a maintenance item, what are you forecasting for straight-line rents for the year?
Ed Aldag: Just to be clear in comparing to your model, Gilbert Hospital of course filed bankruptcy after we had terminated that lease. So upon termination of the lease, we wrote off the straight-line receivable. With respect to Gilbert, we continue to receive rent on time, fully, every month, at least the base rent. And we actually expect that Gilbert has a very good chance of coming out of bankruptcy and maintaining operations in that facility under a new newly structured lease. So that’s the reason the accounting rules make us write off -- let off that straight-line.
Daniel Bernstein - Stifel: Okay. It was just the write off the straight-line and then it goes back up next quarter.
Ed Aldag: Right.
Daniel Bernstein - Stifel: And then on the 8% to 11% yield you’re talking about, those are cash, non-GAAP, right?
Ed Aldag: That’s correct.
Daniel Bernstein - Stifel: Okay. I’ll hop off. That’s all I have for now. Thanks.
Ed Aldag: Thanks, Dan.
Operator: Your next question comes from the line of Juan Sanabria with Bank of America. Please proceed.
Juan Sanabria - Bank of America: Hi, good morning, guys.
Ed Aldag: Good morning, Juan.
Juan Sanabria - Bank of America: Just a question. Ed, I think you mentioned more interest from sovereign funds looking at hospitals. Have you guys thought about potentially doing any dispositions or joint ventures of existing assets to prove up your NAV and help fund acquisitions? And how do you think about that potential opportunity if it does exist to fund acquisitions versus using your equity?
Ed Aldag: Let me address that in reverse order first. We do view that as a way to prove up the value of our assets, and we have done some select sales over the last number of years. They haven’t been anything significant in size, but we have sold some properties for that exact purpose at very nice gains. We have talked about for years a joint venture type model, it is something that we are intrigued about, and it is something that like other avenues of capital we look at from time to time.
Juan Sanabria - Bank of America: Great, thank you. And with regards to the earlier question about the ERs and I guess clustering it with an acute care hospital, what you guys have done with First Choice today? Are those just freestanding ERs that are not associated with hospitals today? And can you just comment on the supply picture in the markets that First Choice operates in?
Ed Aldag: Sure. Some of the First Choice facilities are affiliated with various acute care hospitals. They don’t share an ownership as is the case with some of our other tenants in their emergency hospital models. But with First Choice and some other hospitals, they are indeed affiliated. The affiliation is something I think you’ll see more of from a going forward standpoint. Obviously, there are a number of companies that are doing their emergency rooms, but in all of the facilities the First Choice has opened to-date and the ones that we’ve underwritten for them, we feel very comfortable and they performed very well.
Juan Sanabria - Bank of America: Okay, great. And with regards to the coverage, I think that the new disclosure was great. It might save yourself some time putting it down in a press release. But is there anything below sort of 1.1 times? Is there any way to quantify what percentage of rents or NOI that maybe if it is in fact the case?
Ed Aldag: Juan, there are a couple of facilities that are below that number. There are a couple that act as -- two separate facilities but act as one facility, and whereas one of the facilities is below that number, but together they are above that number. We certainly will look at seeing if we can provide any more clarification in putting together some type of grouping.
Juan Sanabria - Bank of America: Okay, great. I’ll leave it at that. Thanks, guys.
Operator: Your next question comes from the line of Karin Ford with KeyBanc Capital Markets. Please proceed.
Karin Ford - KeyBanc Capital Markets: Hi, good morning. My first question is on the Monroe sale. Is that expected to be a full outright sale of the facility, or a joint venture? And do you expect to get any cash out of the deal?
Ed Aldag: Well, yes, to answer last question, yes, we expect significant cash. And the answer to the first part of the question is also, yes. It’s a sale structured currently, it would be a sale of the real estate, and then a passive participation by MPT in go forward operations.
Karin Ford - KeyBanc Capital Markets: Okay, that’s helpful. Thanks. Second question, if the Gilbert Hospital comes out of bankruptcy as you expect it to, do you anticipate there to be a change in rent under a new structured lease?
Ed Aldag: Yes. The answer is yes. We do. Probably as far as I could go with that, we absolutely would expect improvement in the lease terms all the way around for us.
Karin Ford - KeyBanc Capital Markets: Okay. So likely increased rent under a new lease?
Ed Aldag: That is our expectation.
Karin Ford - KeyBanc Capital Markets: Okay, that’s helpful. The $180 million acquisition, can you give us a sense on timing, do you expect that to be a 2Q item or more in the second half?
Ed Aldag: Well, that’s not necessarily a particular acquisition. We have a very robust pipeline. And so the $180 million is really kind of a weighted handicapping of a fungible group of assets and we would hope in the near term. And by that, I would mean certainly by the end of the third quarter, we would hope to have placed that in either one or a series of different acquisitions.
Karin Ford - KeyBanc Capital Markets: Okay. And what are the strategic implications of completing your first deal with the nonprofit? Do think this opens you guys up to a bunch of additional opportunities on the nonprofit side?
Ed Aldag: Yes, we do, but we don’t think it’s going to be a flood, as we’ve stated before the not-for-profit generally move at a different pace than the for-profits. But just having someone actually pull the trigger on it, I think will make a difference when we’re calling on people.
Karin Ford - KeyBanc Capital Markets: Okay. And then just one more strategic question. You guys added a lot of development this quarter, what is your tolerance for development risk? Do you have sort of a size of the pipeline relative to the entity that you’re comfortable with, or that you wouldn’t want to go over?
Ed Aldag: Karin, it’s more related to the specifics of the individual developments. If you look at the development of the freestanding ERs and acute-care hospitals, if you look at them on a standalone basis, they are very small in relative terms on an individual basis. So it’s different than looking at it as a total $150 million transaction. On the other general acute-care hospitals that we have a $55 million, it’s with a very strong operator, it’s with an operator that we know very well, and we feel very comfortable with that particular transaction in that particular market. From an overall standpoint, it’s just happened that those items hit in the early part of the year as opposed to the latter part, we do not have much development in the pipeline going forward.
Karin Ford - KeyBanc Capital Markets: Okay. And what type of interest rate do you get on the construction loan during construction?
Steve Hamner: We get the same rate during construction as we get post-construction in the lease rate, and that the accounting rules do not allow us to recognize that, whether or not we collect it. But similar to most construction loans, it’s funded in the commitment in any case and rolls up into the lease space. And then, we collect compounded lease based interest once the facility opens.
Karin Ford - KeyBanc Capital Markets: And the yields on all of those are within that sort of 8% to 11% range that you talked about before, right?
Ed Aldag: Correct.
Karin Ford - KeyBanc Capital Markets: Okay. Thank you.
Operator: Your next question comes from the line of Michael Mueller of JPMorgan. Please proceed.
Unidentified Analyst: (Indiscernible) calling in for Mike. First question was, can you just give us some background on LHP Hospital Group in Mountainside, how long they’ve been in operation, how many facilities they operate?
Ed Aldag: LHP was founded some years ago. The management team comes out of the Trinity Hospital Group that was acquired by community. And again, we’re talking 5 to 7 years ago off the top of my head very, very well respected operating group. And it is financed by CCMP, an extremely large sophisticated private equity fund out of Canada. I think they operate six hospitals, and all of their hospitals are joint ventured with not-for-profits, about 1,300 beds been around since 2008, but as Steve pointed out, the management team came out of the Triad Hospital Company.
Unidentified Analyst: Okay. And then, when you said in your press release that you closed on First Choice facilities in 1Q with the next targeted construction cost of $52 million. Does that just mean that you’re starting those developments now and when will they be completed around?
Ed Aldag: The first part is yes, and they generally take about 6 to 8 months for completion.
Unidentified Analyst: Okay. And for the $75 million hospital development that you have a letter of intent on, what sort of development premium do you need for the extra risk of a development compared with what the hospitals stabilized cap rate would be if you had just bought it?
Ed Aldag: A lot of different variables go into that depending on who the operator is. The security, whether it’s a replacement facility or what not, but typically it’s between half a point to a point.
Unidentified Analyst: Okay. That’s helpful, thank you. And then last question, I know this wasn’t discussed much today, but what have you learned about your Germany investment and the markets since taking ownership of it? And do you think they will be your only overseas investment for a while?
Ed Aldag: The Germany facilities are doing exceptionally well. That company has made some additional acquisitions on some turnaround facilities that we hope to have an opportunity to finance down the road. We are very happy with that whole entire relationship. As we’ve always said, we did not think this was going to be our only investment. We believe that we will continue to make investments primarily in that European market similar to the Germany market.
Unidentified Analyst: Okay, that’s it for me. Thank you.
Operator: For the next question, we have a follow-up from Juan Sanabria with Bank of America. Please proceed.
Juan Sanabria - Bank of America: Hey guys, just one quick follow-up. Steve, when you are talking about the guidance and the run rate, I just wanted to make sure I understood you correctly. You said that included that $115 million of investments in the New Jersey hospital, the $180 million I guess of a few different potential acquisitions that you see in your pipeline. And did you say another $150 million of cash put to work?
Steven Hamner: No. What I meant there, Juan, was we have a $150 million in cash available now. So that would go obviously to fund most of that $180 million of kind of fungible properties.
Juan Sanabria - Bank of America: Great, okay. Thanks. That’s it for me.
Steven Hamner: Thank you.
Operator: There are no further questions. I would now like to turn the conference back over to Ed. Please proceed.
Ed Aldag: Thank you, Whitley, and thank all of you for joining us today. As always if you have any questions don’t hesitate to call. We’ll be at NAREIT in June. We look forward to seeing many of you there. Thank you.
Operator: Ladies and gentlemen, that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.